Operator: Good day, and welcome to the Coach Conference Call. Today’s call is being recorded. At this time for opening remarks and introductions, I would like to turn the call over to the Global Head of Investor Relations and Corporate Communications at Coach, Andrea Shaw Resnick.
Andrea Shaw Resnick: Good morning and thank you for joining us. With me today to discuss our quarterly results are Victor Luis, Coach’s Chief Executive Officer; and Jane Nielsen, Coach’s CFO. Before we begin, we must point out that this conference call will involve certain forward-looking statements including projections for our business in the current and future quarter or fiscal year. These statements are based upon a number of continuing assumptions. Future results may differ materially from our current expectations based upon risks and uncertainties such as expected economic trends or our ability to anticipate consumer preferences. Please refer to our latest annual report on Form 10-K, our quarterly report on Form 10-Q for the period ended December 27, 2014, and our other filings with the Securities and Exchange Commission for a complete list of risks and important factors. Also [indiscernible] future performance. Now, let me hand over to Victor Luis to this conference call. Victor Luis will provide an overall summary of our third fiscal quarter 2015 results and will also discuss our progress on global initiatives across markets. Jane Nielsen will continue with a detailed analysis on financial and operational results for the quarter and our outlook for the balance of the fiscal year. Following that we will hold for question-and-answer session. The Q&A session will ensure that [indiscernible]. We will then conclude with some brief closing comments. I would now like to introduce Victor Luis, President and CEO.
Victor Luis: Good morning. Thanks, Andrea, and welcome, everyone. As noted in our press release, our third quarter results were in line with our expectations and annual guidance, adjusted for the stronger-than-expected dollar. We continue to see steady progress in our results with sequential improvement in our bricks-and-mortar stores in North America as we continue to make strides against our brand transformation agenda including greatly reduced promotional impressions. International growth rates remain fairly stable, up mid single digits in local currency, with China and Europe driving overall performance and offsetting the difficult compares in Japan this quarter as we were up against the pull-forward in advance of the tax hike effected on April 1st, 2014. Overall, we are pleased with our team’s execution as we continue to gain traction on this strategic plan to reinvigorate growth and drive the Coach brand’s relevance. In the weeks ahead, we look forward to completing the acquisition of Stuart-Weitzman, which we announced last quarter, a luxury footwear brand that we believe has significant domestic and international growth potential. As noted previously, we will develop each brand separately. Over the longer term, we will learn from each other, driving synergies across our respective businesses. Specifically, we will leverage Coach’s international infrastructure and expertise in handbags and accessories to develop Stuart-Weitzman handbag and accessories business. And in turn Coach will benefit from the Stuart-Weitzman’s teams accessories and footwear developments, where they’re proven leaders in fashion and fit. As we prepare for the integration of Stuart-Weitzman, we have renewed Coach’s women’s footwear license with Jimlar for the next two years. This will allow us to develop the multi-brand infrastructure and systems necessary to bring the category in-house. We are very excited about our first acquisition and look forward to welcoming the Stuart-Weitzman brand and organization into the Coach, Inc. family. Separately, we also just announced the new multi-year fragrance agreement with [indiscernible], upon expiration of our license agreement with Estée Lauder and expect to launch our first scent with our new partner in the fall of 2016. Before we get into a discussion of the quarter and our progress on Coach’s transformation, I wanted to briefly touch on our global pricing strategy since the topic had become a focus for our peer group given the volatility in global currencies. Our pricing strategy has always been to provide exceptional value in local currencies to our global customers. We aim to be approximately 40% to 60% below our traditional luxury competitors, and at this time we do not have plans to change our strategy. Coach will continue to deliver on its modern luxury proposition, offering superb handcrafted products and superior customer service and image-enhancing locations. Given our high level of fashion innovation, we price our products each season and always consider exchange rates at product launches while taking into account the pricing structure of both domestic and international brands in each market. Now as we have been doing since we unveiled our playbook last June, I thought we would share some of the actions that we have taken in keeping with our plan as well as our updated learning’s and results across the three brand pillars. Starting with product, Stuart-Weitzman’s design represented virtually all of our retail stores women’s offerings during the third quarter led by our key silhouette, Swagger available in a number of sizes, colors, and novelty, including patch work. In our outlet stores globally, Stuart’s impact was also noticeable for the first time, with new group set collections including Mickey, Ruby, and Morgan complementing CV, Christy, and Kelsey, previous retail favorites. Margo, its first outlet design introduced for fall continued to be strong. Stuart’s products represented about a third of our outlet store’s women’s assortment during the third quarter. Most generally, our approach of providing value from product elevation has continued. Putting more makes and quality in the products has been very well received by outlet customers globally, giving us confidence in our long-term direction to drive relevance across all channels. In addition, we held our third New York Fashion Week presentation in February, showing our fall 2015 collection and once again garnered overwhelmingly positive reviews from both the editorial and retail communities. Following the fall 2015 presentation, we generated about 193 million lifetime impressions in the market, up approximately 50% from our presentation of spring 2015 in September. And as the editorial community and fashion prep has continued to react positively to our brands, we are also seeing continued progress with consumers. Our quarterly North America brand tracking survey delivered in March showed further improvement among category drivers that Coach has perceived as less promotional, while our brand affinities remain strong overall. In our third quarter, we continued to reaffirm that fashion, which was supported by marketing, drives high sell-throughs as has been indicated with the great success we have experienced with Swagger. On stores: during the quarter we continued to renovate and open new stores globally in our modern luxury concept. By quarter end, we had 40 that reflected the new design, including our first modern luxury outlet stores in Asia. Naturally, we are adjusting the level of investments and renovation to the market, running the gamut from life touch warm-ups to complete rebuilds but always ensuring that we are differentiated from the competitive landscape in an authentic Coach way. The four North American stores we opened in November continued to post positive comps and well outpace the balance of change. I will shortly touch more on the newer renovations in our discussion of the domestic business. Internationally, we have seen significant inflections virtually across the board following renovation from flagship [indiscernible] in London to our outlet in Yogi [ph], Korea. During the quarter, we conducted a modern luxury store intercept and shop-along survey in both the U.S. and Japan with other 100 customers in each market. We found that, one; customers are reacting very positively to the new environment as about 75% of those interviewed said that the modern luxury store makes them want to shop at Coach more often, and two; our modern luxury stores are resonating with customers as sophisticated, luxurious, comfortable, and inviting across both markets. This new store environment is especially appealing to the category drivers who found the store fresh, elegant, and having a more elevated feel. As we continue to negotiate temporary locations with landlords for directly operating stores, work with our international wholesale partners for appropriate spaces and co-tenancies, and work through lease negotiations, a number of projects have now shifted into FY 2015. Specifically, while our North America projects – about 70 renovations and five new stores – are on plan. Approximately 50 international renovations and 10 new international stores have moved into fiscal 2016. We are now targeting about 100 global renovations in fiscal year 2015 and to open it about 40 to 50 new stores globally in this concept for a total of 140 to 150. As expected, this means we will have a very back loaded year in terms of store investment with approximately 75 renovations and about 25 to 35 new openings this quarter. Through the third quarter, we closed 56 North American retail locations, most in January as mentioned on our last earnings call, and we’re on track to close approximately 70 for the full year. In addition, we have closed 13 outlet stores through the third quarter including ten Metro-only locations which we folded into existing stores leveraging the team and cross shopping opportunities. And as noted on our last call, we also closed the two outlet stores identified as a part of our learning agenda at the end of January. In North American department stores, we have already completed well over 200 projects over the first nine months, mostly installing open sell environments and replacing the old cake [ph] lines and have seen an improvement versus the balance of doors. We still expect to convert over 300 total locations from case line presentation to open sell this fiscal year. We are also on target with the Shop Manager program in the wholesale channel, with approximately 30 managers in key doors today with the goal of adding an additional 20 shop managers by the end of fiscal 2015. We are taking the learnings from our successful new stores and are using them to inform the development of the modern luxury concept for other channels. As noted, our first outlet stores have opened internationally during the third quarter and just about two weeks ago we opened our first new modern luxury outlet store in North America, in Savannah, Georgia. We are also working on both our wholesale store and travel retail concepts and have done our first set of warm-up stores that are not getting the full expression of modern luxury. On the Marketing and Customer Experience front, continuing with our comprehensive marketing strategy for spring we had a focus on Swagger and presented a New Dreamers campaign featuring actor Chloe Grace Moretz and recording artist Kid Cudi. Together they’ve brought a more relatable and understandable approach to the campaign. We supported our Coach Swagger bags with a compelling and holistic global print and digital campaign including our viral hash tag what’s your Swagger, driving over 250 million impressions, traffic, and sales. Earlier this month, we garnered over 100 million impressions during the Coachella Music Festival with our Coach Backstage Concert attended by global celebrities. We also saw increases in editorial mentions in all three major markets: North America, Japan, and China, while our editorial rank rose in North America and Japan while holding in China. And as we increased our positive brand impressions, we have also continued to pull back on our North America promotional activity. Consistent with our previously announced strategy, during the spring quarter, we held only bun invitation-only customer event in mid-March around Spring Break. We also reduced the cadence of EOS/sales from three a week last year to about two a month this quarter, thereby meeting our goal to be down to about two events per month by the end of the fiscal year. In addition, there were no Coach days in North American department stores during the third quarter as compared to an average of approximately 30 days across wholesale accounts in the third quarter of 2014. So while much of our journey remains in front of us, we are very pleased with what we have accomplished this far in FY 2015 and will continue to update you on these initiatives as we move forward. Turning to the results of last quarter, some key financials were first, net sales on a reported basis totaled $929 million versus $1.1 billion a year ago, a decrease of 15% including a 3% negative impact of currency. Second, earnings-per-share totaled $0.36, excluding transformation-related charges as compared to $0.68 in the prior year’s third quarter. Third, international sales increased 4% on a constant currency basis and decreased 3% in dollars to $428 million from $441 million last year. China sales rose 10% in constant currency and 8% in dollars with positive comparable store sales while sales in our directly operated locations in Asia and Europe rose in constant currency as well. Henceforth, North American sales fell 24% to $493 million from $648 million last year on a 23% comparable store sales decrease. As expected, given the further reduction of EOSL during the quarter, looking at distribution and consistent with our annual guidance, there was a significant decline in our global, directly operated door comp reflective of our North America retail store closures, he majority of which as planned fell in January. In total, our global location comp was down 48, including a net decline of 54 in North America, two net closures in Japan, four net openings in mainland China, and four net openings in the rest of Asia. As you know, we are primarily focused on re-platforming our stores, elevating brand perception, optimizing our store fleet, and opening new locations selectively in key markets. Moving on to sales by channel and geography starting with our domestic businesses: our total revenues in North America declined 24% for the quarter with our directly operated businesses down 23%. As noted, total Q3 same-store sales declined 23%, with a further reduction in EOS events to twice monthly, pressuring total comps by about 11 percentage points as store comps declined 12%, a sequential improvement from the 16% increase posted in Q2 and 19% increase in Q1. As expected, in department stores, our sales trends at POS were well below the company’s directly operated stores, reflecting both the elimination of Coach days, as I mentioned and the heightened promotional activity in the category. Shifting it into the channel declined to a somewhat greater degree than POS sales. It’s worth reiterating that while we have been pleased with the relative out-performance of the locations we have converted to open sell, these were amongst our smallest stores and therefore haven’t provided a significant overall contribution. We expect the fourth quarter will remain challenging at POS in this channel, given the planned decrease in year-over-year promotional activity for the spring season. Overall, we estimate that the North American premium women’s and handbag/accessories market rose at a mid single-digit rate in the March quarter, showing a slight moderation from recent trends while the overall growth reflects an ongoing benefit from the secular shift into accessories from apparel. We continue to believe that the category will grow at about a 7% compound annual growth rate over our planning horizon. Turning to Men’s, which represents 18% of the global category expense, or about $7 billion today: as we discussed, we’re also continuing to drive our Men’s business globally, primarily through new dual-gender stores. In the third quarter, Coach’s global sales of men’s bags and accessories were up slightly impacted by the weak yen and the pullback of promotion and EOS in North America. Backpacks and our new Hudson bag with a modern business sensibility have been particularly strong. And, as noted on our last call, we were delighted with the response to Stuart’s first men’s lifestyle presentation during Fashion Week at London collection men in January and look forward to his collection arriving in stores this fall. Therefore looking ahead, we remain bullish about the prospects for our Global Men’s business and are continuing to target $1 billion in calendar 2017. Before we discuss international sales, I wanted to provide some more insight into our North American business and third quarter results. In aggregate and as planned, our total store comps was down low double-digits at negative 12%, with higher tickets offset by a decline in traffic which was pressured by the overall weak mall trends as well as lower conversion, which was greatly impacted by the reduction in promotion days in our retail and wholesale channels. Our total comp was pressured an additional 11 points by EOS as we pulled back from three flash sale events a week in last year’s third quarter to about two events a month this spring. Looking at results sequentially, average transaction size in both channels rose in what the primary driver of the 4-point comp improvement in bricks-and-mortar stores as elevated fashion and compelling novelty drove improved handbag performance. And while mall traffic continues a secular decline during the spring as measured by Shopper Track, we did see a relative sequential improvement in our traffic from the holiday quarter despite the weather. Meaning, while still a drag to our overall comparable store sales, it was less onerous than in the second quarter. Conversion impacted by the pullback in promotional activity continues to be pressured as expected. And though we did not have any additional North American stores in our new concept opened in the fourth quarter, the four stores renovated and reopened during the holiday: Time Warner, Rodeo Drive, Fashion Valley and Manhasset continued to comp very positively individually and in aggregate, well above the balance of the retail fleet. Over the last few weeks, beginning in mid-March, we did complete several renovations of varying scope from warm-ups to more significant upgrades on 13 retail locations and also opened our first new modern luxury store in San Juan, our only retail opening in FY 2015. While early days for these locations, we’re pleased with initial performance. By the end of the fiscal year, we expect to have completed about 35 additional renovations. We also continue to see relative out-performance in the 12 MSAs in North America where we are most focused and where we are distorting our attention. I know many of you are also interested to hear about the impact of those 56 retail store closures on revenues and in turn, sales transferred to the existing fleet. As a reminder, and as noted in our analyst day presentation last June, these were the least productive stores in our fleet. So their impact to overall revenues and operating income is very small. Similarly, the sales transfer and impacts to comp in those markets where other retail stores were present was also expected to be small. This January, when the bulk of these stores closed, the results have been inconsistent across markets. In some cases such as Miami and New Jersey and also Southern California, we have seen a lift, notably in traffic. In other areas, such as Chicago, we haven’t seen any change yet. Given the short time period since our closures, we will continue to monitor results. We are also working on specific actions to steer and guide customers to other doors in their respective markets. As mentioned, we also closed ten Men’s outlet stores which were successfully folded into women’s locations in the same malls as well as two core outlet stores as part of our learning agenda originally discussed at our analyst day. These closures, both in January, were executed to better understand crossover between outlet and retail stores as well as our ability to influence purchase behavior. While very early days, thus far we have not seen any transfer from outlets to retail stores in these markets. At this early stage, it appears customers are dedicated to their retail channel and mall and little transfer to other outlets if we close the customer’s primary store. Of course, we will continue to monitor these shoppers over the longer time period to see if these very early takeaways remain valid. Drilling down a bit more on our retail performance: while we have now anniversaries the tighter assortment of handbags, we continue to see absolute strength in our elevated products. More generally, the above $400 price bucket grew in penetration and saw another positive comp and continued to represent over 30% of handbag sales versus roughly 23% last year. More broadly, Leather continues to outpace logo across all channels, and we have designed it into this trend. It’s both a shift that favors Coach longer term given our heritage in leather goods and elevates our impressions in the marketplace. In the third quarter, logo across all categories represented less than 5% of retail sales compared to less than 10% a year ago. And in Outlet, we’re down below 30 % versus 40%. Importantly, this trend has also resulted in significant increases in average handbag price points for traditional luxury brands. Due to their previous reliance on vinylized canvas and/or [indiscernible] fabrication and a tendency to pass on increased costs of using leather to their consumers thereby creating additional space in the market and a further widening in our relative price points and value perception. Outside of handbags, we continue to see relative strength in our Lifestyle categories in the third quarter. Women’s Footwear again increased its penetration from last year’s levels of about 8%, growing to about 10% of North America retail sales in those stores carrying a full offering. Men’s footwear, introduced last fall, was also well received in retail stores. In addition, we are seeing a positive response to our expanded Men’s and Women’s footwear assortment in outlet stores. In total, we saw a significant increase in footwear sales across all directly operated channels in North America. In Outlets, where the overall environment continues to be very promotional, the customer responded to the storytelling presentations throughout the store, along with supporting e-mail campaigns. Neon was a great example of this in March. As mentioned, we’ve just opened our first modern luxury outlet store in North America in Savannah, where customers have been surprised and delighted by the elevated environment. As I have already talked to the global learnings around products, stores, and marketing in my opening, I’ll move on to our fourth quarter initiatives. We are very excited about the arrival of Colorburst Swagger, which will be our Mother’s Day key item and our festival of style featuring length-stitched patterns across multiple silhouettes in retail stores globally. For Mother’s Day, we have brought back our hash tag My First Coach social media and digital campaign celebrating your first Coach in life, your mom. In June, we have a new story that turns out type in Taupe, shoulder bag, and rucksack shapes. In Outlet, our integrated Mother’s Day floor set highlights our pretty pink floral. In June, we will bring in a new Americana floral print available in the totes and satchels. As discussed during analyst day and subsequent calls, our approach to customer events, formally known as PCE, are far fewer in number annually, about three, focusing specifically on our best customers during key holiday periods, such as our Black Friday event during the holiday and our Spring Break event in March. We expect to hold one event in the fourth quarter around Mother’s Day, taking us to three for the year as planned. We are being far more tailored in our segmentation, selectively extending invitations. Separately with two semiannual sales now under our belt, we will continue this practice moving forward with our next event scheduled to begin around Memorial Day and end shortly after July 4th, taking advantage of the higher traffic during these holidays. This approach will support sustained sales growth and build our brand, reinforcing our multi-channel positioning. Overall, we are pleased with the steps we have taken to reposition Coach, notably in the North American Women’s business, adding more emotion and excitement to the product offering and around our brand. Turning now to our International segment, which represents about a third of Coach’s business, sales rose 4% on a constant currency basis in the third quarter but declined 3% on a reported basis impacted by the stronger dollar. As mentioned, China sales rose 10% from the prior year in constant currency and 8% in dollars with positive comparable store sales and slower distribution growth in line with our forecasts. We remain optimistic on the prospects for this market over time as the long-term drivers we have consistently mentioned remain intact including a rapidly growing middle class and overall shift from pure status to value as well as the recent anti-corruption and anti-extravagance campaigns favoring the affordable luxury segment and the evolving retail landscape with the development of new luxury shopping malls. While we are still targeting sales of $590 million to $600 million, which now reflect the negative impact of the stronger dollar, we expect that there will likely be continued volatility in the near term due to both macro issues and geopolitical events which are impacting trends in China and some key tourist markets. Consistent with our peers, we have seen continued and increasing traffic challenges in the Hong Kong as new demonstrations have targeted cross-border shoppers in key malls. We also experienced a pickup in Chinese tourist spending in Japan and Europe, especially around Chinese New Year aided by the compelling value the weaker yen and Euro has provided to the Chinese shopper. At this point, our other Asia direct businesses outside of China and Japan: South Korea, Taiwan, Malaysia, and Singapore posted positive aggregate growth in the local currency. In Japan, we posted an 11% decrease in constant currency, somewhat better than expected as the difficult compare against last year’s pre-consumption tax pulled forward and generally lackluster spending was somewhat offset by the Chinese tourist notably around lunar new year. Dollar sales declined 23%. In Europe, where our brand is small but growing rapidly, we generated significant double-digit sales growth in the quarter driven by both distribution and comp. We continue to believe that Europe represents a significant long-term opportunity for Coach, both with domestic shoppers and the international tourist, notably in key European cities where the affordable luxury segment is outperforming luxury. We’re maintaining our sales forecast for FY 2015 of about $90 million and our goal to achieve over a half a billion in sales at retailers representing a mid single-digit share of the premium Men’s and Women’s bag and accessory markets over our planning horizon. Turning now to our global distribution planning: as they haven’t changed materially from what we outlined on previous earnings calls, I’ll be brief. We continue to expect that our square footage globally and across all channels will increase slightly in FY 2015, reflecting our North American fleet optimization. Our overarching focus will be on renovations and remodels to drive productivity. To this point and as guided previously in North America, our directly operated square footage will be down around 5% given the 70 retail and 15 outlet closures, offset by a number of expansions within the context of our transformation and the number of outlet store openings. And in Wholesale, as we have noted, we’re moving to more open, accessible displays and rolling out a shop manager program. We expect our footprint in department stores to increase slightly in FY 2015. We plan to add about 30 locations resulting in a low single-digit increase in square footage while converting about 300 locations from case line presentations to open sell. Turning to China: we are still planning to open about 20 stores and could have about 10 closures resulting in about ten net openings. While we expect to open a few stores in our other direct Asia markets outside of China and Japan in FY 2015, our portfolio approach is focused on renovating key impact doors with our new modern luxury concept in order to drive our brand transformation and maximize productivity gains with modest growth of our footprint. Turning to Japan: in FY 2015, we continue to expect the total number of locations to remain the same with slight square footage growth from the new flagship and expansions of a few highly productive locations. Led by retail, our brand transformation plans in Japan focus on the renovation of key doors in Tokyo representing over 70% of traffic in that metropolitan area by the end of FY 2016 including the new flagship store in [indiscernible] , which opened in October. We will also renovate key locations in important cities throughout the country along with our flagship stores in Tokyo this summer. As a reminder, now that we have anniversaries last year’s consumption tax increase, which was affected on April 1st, 2014, we would expect to see a rebound in our fourth quarter. Of course, reported sales will be substantially lower given the yen weakness. Moving to Europe: we plan to add about 10 directly-operated locations and more than 100 wholesale locations. Finally, and as we have expressed in the past, we also believe there was a significant opportunity for the Coach brand in global travel retail, which represents the majority of our international wholesale sales. At quarter end, we had a total of 215 international wholesale locations in 31 countries, which included 113 travel locations and expect to add about 25 net additional locations by year-end. Now I’ll ask Jane to provide some additional detail on our financials and outlook for the balance of the year. Jane?
Jane Hamilton Nielsen: Thanks, Victor. Victor has just taken you through the highlights and strategies. Let me now take you through some of the important financial details of our third fiscal quarter results as well as our outlook for the fourth quarter. Our quarterly revenues declined 15%, with North America down 24% and International down 3%. As noted, total sales would have been 3% higher excluding the impact of currency, with international sales up 4% on a constant currency basis. Excluding transformation and other related charges, net income for the quarter totaled $100 million, with earnings per diluted share of $0.36. This compares to net income of $191 million and earnings per diluted share of $0.68 in the prior year’s third quarter. For the quarter, operating income totaled $146 million on a non-GAAP basis versus $253 million last year while operating margin was 15.8% versus 23.9%. During the quarter, gross profit totaled 665 million as compared to $781 million a year ago, while gross margin was 71.6% versus 71.1%. As expected, gross margin benefited from the reduction in North America promotional activity and was helped by out-performance in Japan relative to our expectations. SG&A expenses as a percentage of net sales totaled 55.8% on a non-GAAP basis compared to 47.2% in the year-ago quarter. Absolute SG&A dollars were essentially flat to prior year and well below our expectations despite a $10 million increase in marketing spend. There were three primary drivers in the variance to our forecast. First, our fleet had lower-than-expected depreciation and occupancy expense given the shift in timing of renovations and new store openings, notably flagships into FY 2015. This will also impact our fourth quarter which I’ll speak to shortly. The second is currency as SG&A costs in the quarter benefited from the impact of the stronger dollar. Third, restructuring savings – as we continue to capture savings related to our restructuring sooner than originally anticipated and now expect savings of closer to $100 million in FY 2015. As I turn to GAAP metrics, let me recap key transformation and other related charges. With the realization of our restructuring savings, we now expect to incur pre-tax charges in the $300 million range associated with our transformation plan. $210 million of this charge has been taken over the last four quarters. As previously announced, these charges, which will be largely completed by the end of FY 2015, are related to inventory and fleet-related costs including impairments, accelerated depreciation, and severance associated with store closure. In total, we now expect to capture about $100 million in savings related to our transformation initiatives in fiscal 2015 and approximately 150 million in ongoing annual savings in fiscal year 2016. During the third quarter of FY 2015, the company recorded charges of 23 million under the company’s multi-year transformation plan. These charges consisted primarily of accelerated depreciation for renovations, lease termination costs related to store closures, and organizational efficiency costs. These actions increased the company’s SG&A expenses by $23 million, negatively impacting net income by $12 million after tax or $0.04 per diluted share in the third quarter. Therefore, during the first five months of fiscal 2015, the company’s recorded transformation related charges of $80 million and acquisition related costs of approximately 44 million. These charges increased SG&A expenses by approximately 479 million in total and costs of sales by $5 million, reducing net income by $56 million after tax or $0.20 cents per diluted share for the current nine-month period. Moving on to the balance sheet: inventory levels at quarter-end were $457 million, down 22% from Q3 in FY 2014. Cash and short-term investments did $2.02 billion as compared to $775 million a year ago. As expected during the quarter, we announced a closing of an underwritten public offering of 4.25% senior, unsecured notes with an aggregate principal amount of $600 million. In addition, we amended our existing revolving credit facility to borrow up to $1 billion, up from $700 million previously. This amendment included the issuance of a five-year senior unsecured $300 million term loan. Therefore in total, we had borrowings of approximately $900 million outstanding as of the end of the third quarter. As previously shared, we expect to use these proceeds to cover our working capital needs in light of investments in our business, the acquisition of Stuart-Weitzman, and the new corporate headquarters. Net cash from operating activities in the third quarter was $157 million compared to $105 million last year during Q3. Free cash flow in the third quarter was an inflow of $122 million versus $54 million in the same period last year. Our CapEx spending was $45 million versus $51 million in the same quarter a year ago. Based on renovation and flagship project timing, we now expect CapEx for FY 2015 to be in the area of $275 million to $300 million excluding the cost associated with the new headquarters. The capital costs associated with our new headquarters are now expected to be approximately $15 million in FY 2015, driven by construction timing. And, we are maintaining our current dividend at an annual rate of $1.35. Before I discuss our financial outlook, I want to touch on the pending Stuart-Weitzman acquisition. As Victor mentioned, the deal is on track to close next week. While I cannot provide more details at this time, as disclosed, we expect the Stuart-Weitzman business to be accretive from year one of transaction related charges including anticipated purchase accounting adjustments and contingent payments related to the transaction. We expect to use our cash to fund the purchase price. Also, keep in mind that our outlook for the balance of the year excludes the impact of Stuart-Weitzman, consistent with our previous guidance. Next quarter, post deal close, we will be in a position to provide details on the acquisition’s impact on fourth quarter results in addition to providing fiscal 2016 guidance for both Coach and the Stuart-Weitzman brands. Turning now to our financial outlook for FY 2015: overall our annual guidance has not changed for FY 2015, although the noted project shifts and stronger dollar will impact reported sales and SG&A dollar spend. First on sales, we still expect to deliver a low double digit decline in constant currency in fiscal 2015. Given the strength of the dollar, we continue to expect sales to be down more on a reported basis. Overall, for FY 2015, we expect continued pressure on sales due to our reduced promotions and store closure activity. This guidance assumes that fourth quarter sales will be down by similar levels at Q3 on both a constant currency and reported basis. In the fourth quarter, we continued to expect an improvement in North America bricks-and-mortar comp despite the more difficult comparison. Our EOS pullback will pressure total North American comps by about 10 points. Coach Japan is expected to post positive growth in constant currency, benefiting from the lapping of the consumption tax increase and higher PRC tourist flows. However, we do expect softness in the rest of Asia, specifically in Hong Kong and Macau, based upon deteriorating conditions as has been noted in recent weeks. Keep in mind that in last year’s fourth quarter, we reported an increase in disposition sales which we will not anniversary given our current and clean inventory position. Gross margin is still projected to be in the 69% to 70% range for the year, reflecting our usual seasonality between the third and fourth quarters, with higher sourcing costs largely offset by favorable channel mix and lower promotional activity for the year. We expect our fourth quarter gross margin to be similar to the prior year. SG&A expenses are now expected to be slightly below prior year, reflective of our increased marketing spend and transformation initiatives, offset by shifts in fleet actions, currency, and the faster realization in savings than anticipated. Therefore we expect SG&A dollars to be down slightly in the fourth quarter. Taken together, we continue to expect operating margins to be in the high teens for the year. Finally, our tax rate is still expected to be in the area of 32% for the year, so there may be some variability in the fourth quarter. In closing, I would like to reiterate Victor’s earlier remarks. We laid out a very clear plan last summer, and its execution is well underway. You heard this morning about our brand transformation progress around product, stores and marketing, as well as our key learnings and takeaways. And I will add that we are also on track from an investment and restructuring perspective. We have taken the majority of our total expected transformation related charges over the last four quarters, including rightsizing our inventory levels. We’re investing in re-platforming our stores and wholesale doors and are on track to spend about $570 million over the next three years so the timing of some projects have moved to an FY 2015 as noted. We have begun to realize our cost savings, running a leaner, more efficient organization sooner than we expected. Therefore looking further ahead, we expect to realize an overall annual top-line improvement beginning in FY 2016 with FY 2017 being the year where we return to growth in line with the category. We have the resources to fund our plan while maintaining our dividend during our heavy investment period. Ultimately, our objective is to restore Coach to a place of best-in-class profitability and sustainable growth. I’d now like to open it up to Q&A.
Operator: Thank you. [Operator Instructions] The first question today is from Bob Drbul with Nomura.
Bob Scott Drbul: Hi. Good morning.
Victor Luis: Good morning, Bob
Jane Hamilton Nielsen: Morning, Bob.
Bob Scott Drbul: I guess the question that I have is, you know, this was I think the first quarter with some of the newer product in the Outlet business in North America. So can you just elaborate a little bit more what’s going on in the Outlet business? Did it in fact show sequential improvement from the second quarter?
Victor Luis: Sure, Bob. The short answer is yes, it did. And as we have been very consistent in communicating, we really believe that transformation is about touching all of the consumer touch points: product, stores and marketing, and doing so across all three channels, our full price channel, wholesale and outlet. And even if we do believe that of course the full price channel will lead, we have been focused on the outlet channel, as you mentioned, with approximately one-third of the product in the outlet channel last quarter having been Stuart’s designs. Specifically, we launched a collection called Margo in Q2, which in Q3 was joined, as I shared in my notes by Mickey, Ruby and Morgan, and we’re very pleased with the performance there. And I would say most generally our approach in product of just providing value by putting a lot more make and quality into products has been incredibly well received. And we have seen that in a very strong increase in our ADTs. In terms of the stores, I mentioned in our notes, we just recently a few weeks ago opened up our first Modern Luxury concept store in is Savannah, Georgia. That is a new store. Many of you have seen our previous concept, most recently perhaps in Cabison, which is our Deer Park concept. And I think once you see the Modern Luxury outlet stores, you’ll understand why we’re really excited about this next evolution, and certainly seeing that in Savannah, where the very initial results have been beyond our own expectations. And lastly on the marketing front, while we don’t outwardly of course market to the outlet consumer through advertising or social media or any other means, we do through direct e-mail. And of course most importantly through our in-store customer experience, visual merchandising and our vendors, and there we’re making great strides as well in continuing to elevate that experience as well
Bob Scott Drbul: Great. Thank you very much.
Operator: Thank you. The next question is from Matthew boss with JPMorgan.
Matthew Robert Boss: Hi. Good morning. So can you just help walk us through the bridge in your store comp between today and then your expectation for the return to growth at some point next year? And with that, when will we be fully apples-to-apples on a promotional basis?
Victor Luis: From a promotional basis in terms of being apples-to-apples, it’s really looking toward July. Once we get beyond, of course, our seasonal clearance, which we will have comps this past year as well as of course getting beyond the event. From a third quarter of 2016, we will be apples-to-apples on EOS, which of course we have reduced from what was in essence three a week now to as I mentioned on my call two per month on average.
Matthew Robert Boss: Okay. And then on the margin recovery, what type of sales recovery is needed to move EBIT margin, you know, say back to mid 20s which we saw only a few years back? And do we need to think about any kind of expense build next year given some of the – it sounds like some of the store builds potentially shift into next year?
Jane Hamilton Nielsen: Yeah, Matthew, as we talked about in June when we laid out our long-term transformation plan. We will – right now in FY 2017, we’ll return to growth in line with the category. And our guidance suggests that that’s the point we’ll be back in the higher 20% margin range. As you look at FY 2016, what we have called out is that some of our store renovations and flagships have shifted into FY 2016. So that will put some SG&A pressure into FY 2016. Again, we’re executing the plan as laid out. There’s just a shift in timing here.
Matthew Robert Boss: Okay. Great. Best of luck
Operator: Thank you. The next question is from Barbara Wyckoff with CLSA.
Victor Luis: Morning, Barbara.
Barbara Wyckoff: Hi, everybody. Can you talk about the dynamic of the U.S. full-price stores versus outlet traffic conversions? You talked about ADT being up in outlets. What about the full-priced stores? And then maybe touch on the mix a little bit. How has it changed?
Victor Luis: Sure. Pretty much consistent with what we have been experiencing last quarter, Barbara, and what we shared, which is performance has really been driven by ADT across both channels. Even if we have seen a sequential improvement in the traffic from the second quarter to the third quarter, it still remains a drag. Of course in full price, that’s very much also driven by the broader pressure that we have seen across malls. In terms of other news in the full-price channel, very pleased still with the performance that we’re seeing in the above $400 price bucket, which I mentioned in my notes is now still hanging at above 30% penetration compared to the 23% last year. Good performance in our footwear business across all channels, full price included, and of course beyond that driven by a reduction in conversion, which as we have consistently communicated is impacted by of course the promotional cadence year-on-year. In the full-price channel, once we get beyond semiannual sales, so into July, we’ll be on a like-for-like comparison with promotions. So there we should see of course a change in those trends.
Barbara Wyckoff: All right. Thank you. Are you going to still be not participating in doing Coach Days in department stores? Or was that just a test for the spring season?
Victor Luis: No. That has been our strategy for the whole year, and that is our strategy goes forward.
Barbara Wyckoff: Thank you.
Victor Luis: Thank you.
Operator: Thank you. [Operator Instructions] The next question will be Joan Payson with Barclays.
Joan Payson: Hi. Good morning.
Jane Hamilton Nielsen: Morning, Joan.
Joan Payson: So just in terms of some of the dynamics we’ve been seeing with tourist traffic in the U.S., could you just quickly touch on if that affected comps at all in North America? And then also just in terms of the overall category growth comments you had in terms of mid-single digit growth, it looks like Coach has now been more focused on basically product over $200. So are you seeing any differences in category trends in the over $200 versus under $200 segment?
Victor Luis: Sure. In the tourist flows we have not seen dramatic changes in our North American business. As I did mention our notes, the major change in flows of what we’re seeing, especially in terms of the PRC consumer are really within Asia, with especially Tokyo, Seoul, Taipei picking up increased tourist flows at the expense of a reduction in Hong Kong and Macau for all of the reasons that most of you know of course with the geopolitical conditions there. In terms of the North American category, we have not seen necessarily a slowdown in the below 200 and increase in above 200. We have been speaking very much to our own strategies and two of course our own individual performance. In general, the slight slowdown that we talked about in the category has really been at the expense of the larger brands in the space, which of course is driven in part by our own pull-down in our promotional activities that we have mentioned very consistently.
Joan Payson: Great. Thank you.
Victor Luis: Thank you.
Operator: Thank you. Our next question is from Ike Boruchow with Sterne Agee.
Ike Boruchow: Hi. Good morning, everyone. Thanks for taking my question.
Victor Luis: Good morning.
Ike Boruchow: Victor, I just wanted to ask a higher-level question regarding your traffic and profitability within the full-price channel. So excluding EOS. So, you’re doing a great job holding back from discounts and markdowns within your stores, but some of your bigger competitors are building larger clearance sections and going deeper on their sale merchandise. Is there a point where you need to evaluate your thought process around how you balance sales and margins? I guess basically does your customer need more value to come back into the store to get the traffic positive again is what I’m asking?
Victor Luis: Yeah, of course in many ways that is job description for us, and we have to obviously continue to evaluate what is happening across all channels. EOS does not really impact the full price business. It has been a flash sales model focused on our outlet consumer database only. And in the case of the full-price channel and what we’re seeing with the competitors and how promotional they may be, either seasonally or openly, for us it’s really about continuing to improve our own product assortment and looking to balance price points across all of the price buckets. So rather than producing and introducing a product that’s, say, $300 or $400 and having it on sale constantly in the full price channel for $30 or $40 off, our preference is to give the consumer value by giving them and creating consumer trust by giving them a great product at a suggested retail price. And then at the end of the season, that product which doesn’t perform is the case with most fashion brands will go on sale, and then eventually if it doesn’t sell there of course into our outlet channel. So our focus is really on getting the balance at full price within all of those buckets. We have seen that over the last quarter and communicated it specifically at gifting periods. And that is something that we are developing into.
Jane Hamilton Nielsen: I would just add, Ike, that as we move to semiannual sale, one of the benefits that we saw is that it did pull new consumers into the store as we switched from PCs which went to our loyal consumers to semiannual sale, we saw new consumers enter the store during that period which was a benefit.
Ike Boruchow: Got it. Thanks so much
Operator: Thank you. The next question is from Anna Andreeva with Oppenheimer.
Anna Andreeva: Great. Thanks so much. Good morning.
Victor Luis: Good morning, Anna.
Anna Andreeva: A question on inventories: very tightly managed, down 23%. Do you think any of that possibly constrained top-line in North America, and how do you feel about inventory content heading into the fourth quarter? And just curious, on the gross margin expectation for 4Q being flat, why couldn’t we see upside to that given that you’re pulling back on promotions pretty successfully? Thanks.
Jane Hamilton Nielsen: Sure, Anna. Just as we said today, we’re very pleased with our inventories. I think we’re well-positioned. We feel that we’re well-positioned to support our sales plan as we move forward and as we move forward and as we move into the fourth quarter, our inventory is fresh and in great shape. So we feel good about where we’re at. We made a commitment to manage our inventory tightly as we came out of our transformation, and that’s what we did. On your question on gross margin in the fourth quarter, we’re really executing against our strategy, and that is to keep making our product, valuing our product, pull back on promotion, and balance the headwinds that we’re seeing in rising sourcing costs and FX. And that’s what you’ll see play out in the fourth quarter as it’s played out all year. There will be pushes and pulls. We expect a little bit more pressure from FX, and we’ll see our production variances move more in line with what we had in the first half, which is about 50 basis points of pressure. Even though it’s after 9:30, operator we’ll take a couple of more questions understanding that our prepared remarks went a bit long. So you can continue to take Q&A.
Operator: Thank you. The next question is from Oliver Chen from Cowen & Company.
Oliver Chen: Thanks. Congrats on the progress of the brand management. Regarding Stuart and the outlet opportunity ahead, could you give us a yardstick from which you’ll reach a half or three quarters and then as we think about the metrics, is this main impact as he illustrates more progress on this assortment ticket or traffic or a combination of both? And then, Victor, I just had a question on the inventory composition with respect to the pricing spectrum. Are you happy with the freshness across your different price points including, you know, the access?
Victor Luis: Sure. Let me first touch on the inventory one, and then I’ll talk a little bit ability outlet products from Stuart and how that flows in. On inventory, we’re very happy both with the freshness of the inventory and with the sell-throughs that we’re seeing. We are really pleased with the product that we continue to launch in the full price channel, and as I mentioned in my prepared notes, especially what we’re seeing with our new macro style in swagger and some of those styles in certain fabrications. We’re very much in chase mode, and that is a collection that we will continue to develop into and have a lot of excitement and innovation that we’re working into that line over the course of the next 12 months or so. In addition, we have been, as I mentioned in my reference to Ike’s question, continually developing into the key price buckets and functionalities. We have some key tote silhouette coming out from June, another key carryall silhouette coming out in August, and other smaller cross-body especially at shopper price points but for the full price channel coming out throughout later in the fall and into spring into holiday and spring of next year. So very, very actively developing for balance across all price points. In terms of outlets and the continued rollout of Stuart’s product, by fall and into holiday, the vast majority of outlet product will be new designs and even current designs that are there will get a certain freshening up facelift if you will so that all products will have Stuart’s influence in it. We’re very pleased. And there again our strategy continues to be to provide great value to the consumer at great price points, but certainly to continue to invest in giving the make and to continue to elevate the product.
Oliver Chen: Thank you. Best regards.
Victor Luis: Thank you.
Operator: Thank you. And as a reminder, we do ask for one question per caller. The next question is from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Good morning, everyone, and nice to see the improvement. I was in the Beverly Hills store last week, and I can tell you that it looked terrific.
Victor Luis: Thank you, Dana.
Dana Telsey: As you think about the gross margin impact of fewer promotions versus higher leather goods, how should we – because this is the first gross margin improvement we’ve seen in, like, six quarters. How should we see that gross margin continue to trend and will more of the improvement come from the fewer promotions, higher leather goods? How are you seeing it? And are you seeing this penetration or product globally? Thank you.
Victor Luis: Thanks, Dana. So the way our strategy is to balance the pullback in promotions with the increased make that we’re putting into the product. So that’s sort of the strategy. We balance those two with a very high gross margin. As we have called out through our transformation, we expect that to be in the 69% to 70% range. There’ll be some pushes – pushes and takes in terms of sourcing costs and FX, but overall we’ll continue to have our tailwind benefit as international grows sets the growth pace and that will continue to be a tailwind for gross margin overall. But it’s really balancing those two and managing the headwinds and tailwinds.
Dana Telsey: Thank you.
Operator: Thank you. Our final question today is from Erinn Murphy with Piper Jaffray.
Erinn Murphy: Thanks. Good morning. I just want to go back to kind of your comments in the prepared script on higher promotional activity in the category. Are you seeing that across the board from your competitors? Is there a specific channel that that’s showing up? And then in particular, and then if you take a step back, if the category remains increasingly promotional, are you worried about kind of the timeline as you kind of work on improving your own promotional cadence and kind of elevating the product in terms of the turnaround? Thank you.
Victor Luis: Sure. Thanks, Erinn. We have seen of course the outlet channel by its very nature is a promotional channel. So there’s nothing new there. It’s always been promotional. And from our perspective there, the key is of course to engage and convert consumers coming in. We don’t outwardly advertise to that channel, and it’s about providing them with excitement. And I think that the step change that we’re making across all of the consumer touch points in that channel with our new store concept, of course most importantly the new product, which is now across stores as well as our new visual merchandising guidelines, are proving to be the winning recipe there rather than providing further increased discounts at the moment. So very pleased there. In terms of the other channels in our own full-price channel and the shopping mall, I think there was some reference to some competitive brands potentially always being on sale. That is not our strategy. We – both in our full price stores and in .com we have the seasonal sales. We believe that that is the best way to build relationships with our consumers. In the case of the wholesale channel, we are not participating in our own Coach days, and I believe that was a question asked earlier by Barbara in terms of Coach-only events. We have reduced those, and that was a reduction of 30 – by 30 days compared to last year. Of course there are other promotional days that are across the channel that we participate in to some extent. Wholesale is really 8% of our total business, and we’re really focused in driving the transformation plan per the strategy that we have laid out.
Andrea Shaw Resnick: Thank you. That concludes our Q&A. I will now turn it over to Victor for some concluding remarks. Victor?
Victor Luis: Thanks, Andrea. I want to once again thank you all for following us and continuing to be on this transformation journey. As a team, we’re incredibly encouraged by the positive signs that we’re seeing in the execution of our strategies as we continue to drive first and foremost fashion relevance for the Coach brand, as well as to differentiate it from the accessible luxury competition that has grown over the last 5 to 10 years. I want to recognize our entire Coach’s team for their commitment and most importantly for continuing have the courage and the discipline to stay the course with our strategies, which are very much in the long-term interest of our brand health and of our business. And I know that I speak for all of us at Coach as we prepare to welcome the Stuart-Weitzman team to the Coach, Inc. family and looking out with great excitement to having them join us. So with that, I thank you all, and look forward to seeing you over the course of the next few months. Thank you.